Operator: Good afternoon. My name is Brandy, and I will be your conference operator today. At this time, I would like to welcome everyone to the Terex Corporation First Quarter 2008 Earnings Release Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions]. Thank you. I would now like to turn the call over to Ron DeFeo, CEO. Please go ahead, sir.
Ronald M. DeFeo - Chairman and Chief Executive Officer: Thank you, Brandy, and good morning, ladies and gentlemen, and thank you for your interest in Terex Corporation today. On the call and available for your questions will be Steve Filipov, Rick Nichols, Bob Isaman, and Tim Ford, our group Presidents, and with me participating in the call is Tom Riordan, Terex President and COO; and Phil Widman, our Chief Financial Officer. A little housekeeping, to accommodate our audiences in earlier time zones or anyone unable to listen in, there will be a replay of this teleconference. That will be available shortly after the conclusion of this call. It can be accessed until the 1st of May at 5:00 p.m. eastern daylight time. To access the replay, call 800-642-1687 and for International participants, 706-645-9291 with a conference ID number of 42839012. Obviously, you can also access our information through our website. So let me get started. The first quarter performance we feel is another positive step in what we expect to be a milestone year for Terex, on our way to the 12 x 12 in ‘10 goal. We have many accomplishments to be proud of, but also numerous opportunities to address along the way. We're still a freshman in high school, but I do expect to graduate later this year to be a sophomore. Hopefully in today's call, you can see that while there's some crosscurrents that need to be addressed we can and we will respond to these crosscurrents as we achieve our near-term goals. The first quarter illustrates some of what I mean. Earnings per share, they were up 46%, and net sales increased a bit over 17%. Reflecting upon the revenue, we did benefit by approximately 8 percentage points on net sales in the first quarter relating to acquisitions and currency, meaning that our net sales were up 9% on an organic basis. This organic growth rate alone will get us to about the $12 billion level in 2010, but of course we would expect to be making some acquisitions during this period plus I'm hopeful that we can do better than this 9% organic growth rate. All is not doom and gloom in our markets, and I hope you get that sense from our press release. In the quarter, we had an operating margin of 10.8%, up from the 10% level of last year. This is probably the most challenging part of our goal, as achieving the 12% operating margin requires dealing with some of the challenging cost environment that's in front of us. But in fact, some of the same reasons why infrastructure spending globally is so strong and the 70% of our business, which is outside the United States is so strong, also causes our input costs to rise. So, don't fret. It is an issue, but it is not the... it is not something that cannot be overcome. To deal with this, we need to aggressively explain to our customers the cost increase story and get price increases appropriately. While we will be doing this, it does make for some choppy forecasting which, as Phil will explain, is why we have increased our average guidance, but not pushed the full-year up outside the higher end of the range we previously provided. It is simply too soon to provide that certain overview of how the timing of the pricing and cost increase developments will play out in the back half of the year. However, we also have the opportunity at Terex to fix some of our under-performing businesses from a margin perspective and we are doing this. In fact, we think some of the moves we can make to help both our Roadbuilding and Construction businesses simultaneously will begin showing benefits in 2009 and 2010. And this will be in the area of shared manufacturing assets. Lastly, we have some really strong businesses that we expect will stay this way, and in fact balance out our business portfolio. Look at the strength in Cranes, with a growth of 26% year-over-year in the quarter, Materials Processing & Mining with a growth of over 42%. I know some had thought the Aerial Work Platform business was teetering on the brink, but the first quarter actually illustrated growth in both North America and international. For our Construction business, there's definite softening of certain countries in Western Europe and the housing market in the U.S. remains quite weak. However, we continue to view the current marketplace more as an opportunity than as a near-term risk. As our construction business has relatively low market shares that we feel we can grow as we build out capability today for the future. All in all, Terex remains strong and is getting stronger. We welcome A.S.V. into the Terex family of businesses as well as the bridge inspection equipment company of Hydra that is being added to our Roadbuilding operations. Superior high-wall miners has already shown great prospects for us as well focused on coal which as you know is a strong area of future growth. Now, I’d like to turn it over to Phil Widman who will cover the corporate performance and then our President, Tom Riordan, will highlight some of the noteworthy operating activities. Then of course we'll take your questions. Phil?
Phillip C. Widman - Senior Vice President and Chief Financial Officer: Thanks, Ron, and good morning everyone. Before I begin, let me remind you that we will discuss expectations of future events and performance of the company on today's call and that such expectations are subject to uncertainties related to macroeconomic factors, interest rates, governmental actions and other factors. A fuller description of the factors that affect future expectations is included in the press release and our other public filings. I encourage you to read them. Net sales reached a record for the first quarter at $2.4 billion, up 9% excluding translation impact of foreign currency fluctuations and acquisitions, while our income from operations of $256 million increased 28%. Net income increased to $1.59 per share from $1.09 in the prior year period. You'll recall then in 2007 we had an $0.08 per share negative impact related to the early extinguishment of senior sub notes. Cash used in operating activities was somewhat higher than last year, but fairly typical for this time of year. Return on invested capital, which we now measure on an after-tax basis, was 27.3% for the trailing four-quarter period. The net sales increase in the first quarter was driven mainly by Materials Processing & Mining and Crane segments, as worldwide infrastructure and commodity needs continued to provide significant demand for our products. We also had overall net sales growth in the Aerial Work Platform segment although a little different than our geographic expectations. Excluding acquisitions and the impact of currency, the remaining two segments were relatively flat over the comparable prior-year period. Income from operations increased to $256 million, an operating margin of 10.8%, compared to $201 million with operating margin of 10% in the prior year. Volume growth in our more profitable segments, the positive impact of prior pricing adjustments and the trend for higher capacity crane and mining products contributed positively to the result. However, we are also dealing with commodity cost increases, efficiency chances and the negative impact in the quarter of the inventory valuation and amortization effects of the recent acquisitions in some of our businesses. SG&A expenses increased in relation to net sales volume and on an absolute basis, representing our investment to improve our business processes and capitalize on developing market opportunities. You’ll note that our Crane and Materials Processing & Mining segments, where we expect sustained strength in end markets, contributed 60% of the operating profit in the period, while we still maintain excellent AWP results. The effective tax rate on the first quarter was 33.8% compared to 37.5% in the prior-year period. The effect of recently reduced statutory rates in several European countries had a positive effect relative to the prior year as well as the fact that the first quarter of 2007 rate included, it is recharged for the repatriation of international cash. Return on invested capital reached 27.3%, again on after-tax basis, for the trailing 12-month period, as we benefited from the excellent trailing profitability. Our 2008 target excluding the impact of A.S.V. is 25.6%. The impact of the A.S.V. acquisition will tend to dampen this metric in the short-term somewhat. We used a $190 million in cash from operating activities, $25 million more than 2007 period, due in part to a decrease in customer advances as we completed commissioning and delivery of large crane and mining products, as well as a decrease in receivable discounting. As is typical, our working capital increases in the first quarter in anticipation of increased volume in the midyear period. The level of working capital, the trailing annualized net sales, reached 24.9%, 0.8% of which relates to the inclusion of recent acquisitions and 0.5% to the difficulties caused by the major flooding in Australia during the quarter. This compares to 21.5% in the prior-year period. Our challenge with inventory is to improve processes throughout the supply chain, specifically logistics and planning. We continue to maintain our focus in this area. Debt, less cash and cash equivalents, increased $522 million in the quarter to $769 million, representing 23.3% of total capitalization, mainly due to the completion of acquisitions, share repurchases of $52 million, and the operating cash activities mentioned earlier. We will continue to pursue opportunistic acquisitions and invest internally for profitable growth while executing our share repurchase program. With regard to backlog levels, we continued to experience significant overall growth, up to $4.8 billion from $3.4 billion in the prior year. Again, this represents orders that are deliverable in the next 12 months. You will note this quarter we have not included approximately $210 million in potential backlog related to rough terrain crane products until we finalize pricing for 2009 deliveries. This is expected to be resolved in the third quarter. Given our strong first quarter performance, an assessment of the challenges and opportunities in some of our end markets, the anticipated steel cost pressures and our response to these factors, we're increasing our full-year 2008 guidance to a net sales level of $10.5 billion to $10.9 billion and earnings of $6.85 to $7.15 per share. The EPS midpoint would represent a 20% increase over 2007 levels. With that, I'll turn it over to Tom.
Tom Riordan - President and Chief Operating Officer: Thanks, Phil, and good morning everyone. I will cover our current views of end markets and business condition, review how some of our businesses… how our different businesses are performing, and then wrap up with an overview of some of our key initiatives and challenges. The end markets for Terex continue to be reasonably strong on average, as most regions and countries continue to improve their infrastructure, which drives demand for our products. There are clear differences in the relative strength of various geographies and we believe we're reasonably well positioned for the current economic environment. The Aerial Work Platform market continues to be somewhat bifurcated. North America is still a solid, but flat market, the U.K. has slowed down based on recent rail customer consolidation, and most of Europe continues to be very strong along with the Middle East and Latin America. We're pleased with the performance of our AWP business in the quarter. North America was up mid-single digits; EMEA, which is Europe, Middle East and Africa, was up high-teens; and Latin America was up solid double-digits with Asia Pacific down for us based on recent severe weather in Australia that Phil mentioned along with some localized Asian market softness. We expect Asia Pacific to rebound fairly quickly. Our margins were good at 18% and we made very good progress in continuing to build our global sales and service infrastructure. As part of that, we recently announced our plans to build a new plant in Changchun, China. This is very much in line with our intent of having production capability located to serve regional markets along with taking advantage of lower cost sourcing and assembly capability for our global markets. Our AWP backlog and order trends continue to be very much in line with our expectations, with the North American market up slightly and the European market down somewhat. Moving on to the global Construction Equipment market, we see that it continues to be quite varied. North America continues to be depressed, but stable. Eastern Europe continues to be strong, softness in the U.K. and southern Europe, and stable in the rest of Western Europe along with the Middle East, Africa and Asia all continuing to be very strong. Our Construction Equipment business had a tough quarter. While our net sales were up nearly 10%, this increase was driven by exchange rates and by the A.S.V. acquisition, which is doing very well. Cost pressures from steel and fabricated parts had an impact this quarter along with some operational issues. Overall our order rates are solid, our backlog is up significantly from a year ago, and we expect good midterm performance from this group. Our first mini excavator was recently produced and sold in Sanhe, China. Large infrastructure projects around the globe are driving the demand for our cranes. The larger capacity cranes are continuing to see unprecedented orders, which is the core of our product offering. Our cranes business had a very good quarter with significant increase in backlog and a 300 basis point improvement in operating margins. We continue to work on supply constraints diligently including our own bottlenecks. We hope to announce new plant capacity expansion plans in the near future. The general environment for Mining and Materials Processing markets continues to be very strong. Basic material industries are investing heavily to upgrade and expand their capacities, which is driving our product demand. We expect to see these trends continuing for the foreseeable future. Our Materials Processing & Mining business had a terrific quarter with net sales up over 40% and profitability up nearly 50%. Similar to our Cranes business, we continue to stretch our suppliers and our own capacities and are making good progress to relieve these constraints. The recent severe rains in Australia also affected our Mining business, which we expect to make up in the coming quarters. In addition to the plan for India for Materials Processing previously announced, we hope to announce additional new capacity expansion plans for both of these businesses in the near future. Backlogs have continued to increase and we see very strong quoting and bid activity, particularly in Mining. The Roadbuilding, Utility business continues to struggle. Although we have continued to cut costs and overhead, fundamental sales and order trends in the U.S. remain soft. I mentioned in the fourth quarter call that I expected to see improved margins in this segment in 2008. With the steel cost increases we're seeing and the competitive environment, we're likely to see very moderate improvement of profitability this year. Let me come back to the current steel cost situation. With recent significant increases in iron ore, cocking coal, scrap steel, energy, and other costs associated with the manufacture of steel, we're heavily engaged in managing both availability and cost of steel and related components. We have a number of fixed price contracts that we expect that our steel supply partners will continue to honor. Many of these raw steel supply agreements will expire at the end of the second quarter, although many fabrication component supply agreements continue past that. As price increase requests continue to come through our supply chain, we're seeing strong cost pressures in Europe and moderate pressures elsewhere. Our [inaudible] supply management team is working very closely with local business leaders and sourcing teams to ensure visibility and transparency with these cost challenges. Many of our larger and longer lead time products such as cranes and mining equipments already have built in cost escalation contracts with our customers. Shorter lead-time products such as those in our construction business have minimal pricing protection from existing orders. With that said, we also expect to be able to raise prices or add surcharges in the vast majority of our businesses and products. While we're sensitive to our customers’ needs and aggressively working to find other costs to offset, we can and we will be raising prices to cover these steel cost increases. Although there is no assurance it will be 100% successful and there will be some timing issues, we're confident that in general we'll recover the majority of these cost increases. Working capital continues to be an area of focus. We traditionally built inventories in the first quarter in anticipation of the selling season in quarters two and three, and this year is no exception. With the strong growth in demand for many of our products along with the A.S.V. acquisition, our working capital as a percent of sales is somewhat high. The positive side of this is the natural hedge against some of the cost increases cited earlier as well as helping to mitigate the supply disruptions. While inventory is always considered waste in lean companies, we're prudently working to strike the right balance for the benefit of our customers and our stakeholders. The last area I would like to cover is the Terex Management System or our new company-wide ERP system we're migrating to. The implementation of our three pilot sites will occur around midyear. And while we have significant focus and some last minute tweaking that needs to happen, we're still very confident of the benefits and are busy preparing for the next sites to be implemented in Q1 2009. At this point, I'll turn it back to Ron.
Ronald M. DeFeo - Chairman and Chief Executive Officer: Thank you, Tom. Thank you, Phil. A final point before going to questions, really a point of reflection upon valuation of our company. If you examine three of our key business segments, our Materials Processing & Mining segment, this is a business that revenue was up 43% this quarter and a total revenue… on a total revenue basis it approximates… the amount of revenue of a couple of public comparables, it’s a high mid-teens operating margin business and we think a high return on invested capital business, and the equity valuation attached to that certainly should be significant. Reflecting upon our Crane business, which grew 26% in the quarter, it was a huge increase in backlog, probably an unparalleled position in large cranes globally, which should be giving us some sustained performance. There is another public comparable out there from a valuation point of view leading to pretty substantial equity valuation to be contributed from this segment. And of course the Aerial Work Platform business, which is a business of $2.5 billion in revenue approximately. Tremendously good returns on capital of course, and high-teens operating margins, 18% in the quarter. And there is another public comparable from a valuation point of view. Just those three, plus of course the opportunity that exist in our Construction business and in our Roadbuilding and Utility business which we intend to improve, should argue for a substantially higher equity valuation than we have today. We believe in this. We're going to work on it. And we are going to continue making the changes necessary in this company to take us to the kind of performance that we think is possible for Terex over the next several years. So with that, I'd like to open it up to your questions. Question and Answer
Operator: [Operator Instructions]. Your first question comes from Terry Darling with Goldman Sachs.
Terry Darling - Goldman Sachs: I just wanted to come back to the price steel cost issue, which I think you guys covered very well, but a couple of follow-ups there. First, can you talk about what you expect in terms of order of magnitude the price increases that you are looking at to offset those pressures?
Ronald M. DeFeo - Chairman and Chief Executive Officer: Terry, we are trying not to be so specific that somebody can simply paintbrush a price increase because it really is all about each on of our individual businesses. We expect frankly to recover the full amount of our cost increases. But that obviously will vary because in our Crane business as we said, we have the opportunity to have some escalation, particularly in our larger cranes. In our Mining business, I think something is… similar to that is true. However, our Aerial Work Platforms business will be a little bit more challenged, particularly in the short-term, to recover that increase although we are going to work hard to do that. So, it really varies by business. But it’s our intent within the next to 6 to 12 months to fully recover our entire cost. If you reflect upon the last time steel went up significantly, which is in the 2004 period, most companies, ourselves included, were caught a little bit flat-footed relative to how to price to recover these kinds of increases. I think we learned our lessons, but that doesn't make it any easier. And we I think have a pretty good roadmap. So, while others are out there saying we are going to take prices up 5% or up to 5%, I just don't think that's an appropriate way to give guidance here because we want to take prices up as necessary to recover the cost, no more but certainly no less.
Terry Darling - Goldman Sachs: Understood. Maybe I’ll come at it from a different angle. Within your guidance, what increase have you assumed for maybe just raw materials broadly?
Ronald M. DeFeo - Chairman and Chief Executive Officer: I don't think we can tell you that, Terry, to be perfectly honest with you. We have looked at what our variances are. We think we have some sensitivity handicap. But if we give you that number, you're going to look at it and say, well, what is your contingency to your EPS guidance. And what I would just like to say is, we look at this rather holistically because of course there are other things that are happening that are positive that may be offsetting this. So, that's kind of the way we approach this.
Terry Darling - Goldman Sachs: No, Ron, I am just… you've got great orders here and the backlog enhancing visibility and… I mean you guys have touched on it. The big uncertainty is this cost price differential. I am just trying to get a sense in terms of how conservative or how aggressive your raw material assumptions in the back half of the year might be. That just where I am going with the question.
Ronald M. DeFeo - Chairman and Chief Executive Officer: Here is the challenge to answer that question precisely, Terry, and I know this is a little bit frustrating, is that as Tom indicated, we have some agreements that we're seeing no increases in steel to speak of because we have commitments from those suppliers. But those contracts run off in the third quarter. And we're not sure yet frankly whether or not we are going to have 5% increases or 20% increases from some of our steel and we think there is some marketing that's taking place on the part of steel that would have them argue for greater increases and simultaneously we are going to argue for substantially lower increases because we are combining our purchasing power at this stage. So, we are in kind of a supply battle where on one extreme you might say there is $100 million of risk and on another extreme you might say, we can mitigate virtually all of that both through pricing and through some purchasing leverage. So that's kind of the state of play.
Terry Darling - Goldman Sachs: One more really and then I will get off. Can you just help us understand the timing of when you will be in a better position to know about that second half steel cost profile? Is that April, May, June, can you help us with that at all?
Tom Riordan - President and Chief Operating Officer: I would think that again as Ron mentioned, the state of play with suppliers and increases within the industry, I am not sure we are going to be able to give much more visibility before the next quarter's earnings call, which will likely be late July. I think we need to be cautious about announcing any strong intent here because, one, we’ve had a very widely varying situation with our products and geographies and secondly, I think we also got a widely varying sensitivity on the part of differing end markets relative to pricing receptiveness. So all in all, I think it's going to be somewhat choppy. The steel companies themselves continue to foster [ph] and change their position somewhat in real-time as we speak and I think the story likely will come out over the next 90 days or so.
Terry Darling - Goldman Sachs: Appreciate the help.
Tom Riordan - President and Chief Operating Officer: Okay.
Ronald M. DeFeo - Chairman and Chief Executive Officer: We're trying to be helpful, Terry. Frankly, we think we've got pretty solid guidance here and it would have been easy to trying to give a simple answer, but it's a little bit more complicated.
Terry Darling - Goldman Sachs: Thanks, guys.
Operator: Your next question comes from Andy Casey with Wachovia Securities.
Andrew Casey - Wachovia Securities: Good morning, everybody.
Ronald M. DeFeo - Chairman and Chief Executive Officer: Good morning.
Tom Riordan - President and Chief Operating Officer: Good morning.
Andrew Casey - Wachovia Securities: Just a little bit of classification on the revenue and input cost guidance and the comments. Are you including this expected raw material pricing in the increased revenue guidance, it really doesn't look like you are?
Ronald M. DeFeo - Chairman and Chief Executive Officer: In the increased revenue guidance?
Phillip C. Widman - Senior Vice President and Chief Financial Officer: Yes, not specifically, Andy. One of the increases in there is also actually A.S.V. part of it.
Andrew Casey - Wachovia Securities: Okay.
Phillip C. Widman - Senior Vice President and Chief Financial Officer: So not specifically on the pricing.
Ronald M. DeFeo - Chairman and Chief Executive Officer: It was not pricing that caused us to improve our revenue guidance.
Andrew Casey - Wachovia Securities: I just wanted to clarify that. Thank you. And on the normal 50/50 first half to second half seasonal earnings mix, do you expect that within this guidance to shift more heavily to the first half?
Ronald M. DeFeo - Chairman and Chief Executive Officer: No.
Andrew Casey - Wachovia Securities: Okay. And then lastly, on the UK AWP customer consolidation issue, do you expect that to persist through this year or is it just pretty much contained in the first half.
Ronald M. DeFeo - Chairman and Chief Executive Officer: Tim, would like to answer that?
Tim Ford - President, Terex Aerial Work Platforms: Sure. We think that the consolidation has a first-half affect. We believe that customers, once they get a sense for what their situation is, will begin to release some orders for second half.
Andrew Casey - Wachovia Securities: Okay. Thank you very much.
Ronald M. DeFeo - Chairman and Chief Executive Officer: Okay.
Operator: Your next question comes from Jamie Cook with Credit Suisse.
Jamie Cook - Credit Suisse Securities: Good morning, and congratulations. I guess my first question, I think you guys… on the Aerial Work Platforms side, I think in your prepared comments you said North America was up mid-single digit or at least it seemed pretty solid. I think when you guys had originally given guidance you talked more about a flat market. I guess I'm surprised by the strength of the market, was it market share, was it pull-forward? And can you talk about what you're hearing from your customers anecdotally, giving the week AVI [ph] numbers, Commercial Construction numbers, in general how you think that market sort of… how we see the market evolve throughout the rest of the year?
Ronald M. DeFeo - Chairman and Chief Executive Officer: Well, Tim, why don’t you answer that?
Tim Ford - President, Terex Aerial Work Platforms: Yes. Our North American market has remained more buoyant than we thought it would in the fourth quarter, Jamie. The customer base in the U.S. is… continues to perform well. We've had some market share gains that has been favorable for us, and frankly all of our customers haven't put orders in for the year. So, we think that we're in a pretty good position for the remainder of the year in North America. We think North America is going to be… will be a decent story for us this year.
Jamie Cook - Credit Suisse Securities: Okay. And then I do guess too can you just talk, I mean some of your comments, well, I think it was more related to… on the Construction business, but within Western European. It sounds like the macro environment has deteriorated a little, which is a big part of the Aerial Work Platform business. Can you… outside of the customer consolidation that you saw, how are you looking at those markets and how big is the developing markets at this point? Because I think the obviously… concern is that Aerial Work Platform, which is a significant percentage of your profits, is going to… this is the best to come and I think everyone is pretty concerned about how should we look at 2009?
Ronald M. DeFeo - Chairman and Chief Executive Officer: Okay, Jamie. Well, there are several things of good news to emphasize really. First, Aerial Work Platform profitability was up over last year, but as a percentage of our profit actually meaningfully down and that's really due to the improving profit performance of our Crane business and our Materials Processing & Mining business which we have been saying for several years, but I think… frankly, I think has been falling on more deaf ears than people listening all [ph] ears. So from my point of view, I think that's a good sign. The other thing that we have said for some time is the diversification of our revenue base outside of traditional markets and that continues. If you examine our business, while the Western European markets, particularly markets like the United Kingdom, Spain, some of the Southern European markets have shown a weakness not just in Aerial Work Platform business but also in Construction… our Construction Product businesses, that's more than offset, in most of our businesses at least, by the strength in the Eastern European markets and the oil booming regions of the Middle East and in fact some beginning significant improvements in our revenue in Russia. So, we're seeing a move east and south from our European factories, that is being reflected both in our Aerial Work Platform business and to a degree in our Construction business. The Crane business remains pretty solid across that range, and the Mining and Materials Processing business remains pretty solid across those ranges. So, I'm feeling like… and Steve Filipov is here. He has got a lot of work to do. But as you examine the performance of our business, we really seeing our Western European business actually slow somewhat and our developing markets continuing to accelerate.
Jamie Cook - Credit Suisse Securities: Let me ask this, within the Aerial Work Platform business… and then I will get back in queue. You only report backlog through the end of the year. I mean what… do you have orders that would go into 2009 and how would that compare to last year?
Ronald M. DeFeo - Chairman and Chief Executive Officer: We do report, Jamie, remember, 12 months.
Jamie Cook - Credit Suisse Securities: Okay. So, beyond the 12 months I guess.
Tom Riordan - President and Chief Operating Officer: Yes. Our backlog for 12 months is as reported, there is a small amount beyond that that we have that is not reported.
Jamie Cook - Credit Suisse Securities:
In the Aerial Work Platform division?:
Tom Riordan - President and Chief Operating Officer: Right.
Jamie Cook - Credit Suisse Securities: And how would that compare? If we were to compare this year versus last year would a lot more go beyond the 12 months?
Ronald M. DeFeo - Chairman and Chief Executive Officer: I’d say it's pretty much steady state like it was a year ago.
Jamie Cook - Credit Suisse Securities: All right, thanks. I will get back in queue.
Operator: Your next question comes from Alex Blanton with Ingalls & Snyder.
Alexander Blanton - Ingalls & Snyder: Hi, good morning. On the customer consolidation, I think you said within the UK in the AWP business, I take it those were rental fleets that you're referring to and could you give us some details on what exactly that was?
Ronald M. DeFeo - Chairman and Chief Executive Officer: Our market in the UK has really seen a consolidation in the last 90 to 120 days where 2 or 3 companies have being merged together. And those company… the acquiring company is evaluating the fleet overall and is assessing what their needs are going to be as they go forward. I think that’s--.
Tim Ford - President, Terex Aerial Work Platforms: Alex, this is really pretty typical in our industry.
Alexander Blanton - Ingalls & Snyder: Yes.
Tim Ford - President, Terex Aerial Work Platforms: I think in the short-term it causes orders to be cancelled as fleets get rationalized. But frankly, that's good news. I would rather have that happen than for us to continue to push inventory into the marketplace that is later going to be rationalized with a more disruptive downturn. And I think if I reflect upon I guess my nearly 20 years experience in this business now, which is frightening for me to think about frankly, but I think it has given me some perspective. What we are seeing is a much more thoughtful and analytical approach to fleets, to mergers, to combinations than I have seen historically. We’re seeing companies that don't go up to the edge and follow. We see companies that look at the marketplace and say the market is changing, therefore we are going to change and we are going to make our company stronger. And I think that is frankly good for our business.
Alexander Blanton - Ingalls & Snyder: All right. Tim, could you give us the names or could you care to mention the names of those companies that have merged together?
Tim Ford - President, Terex Aerial Work Platforms: We really don't want to do that. I don't think that is appropriate for us to do, but I think if you probably ask our competitors maybe they will let you know.
Alexander Blanton - Ingalls & Snyder: Okay. Well, I can pursue that later. The second question is on AFC, which I followed it one-time before you bought it.
Ronald M. DeFeo - Chairman and Chief Executive Officer: We do know that, Alex.
Alexander Blanton - Ingalls & Snyder: You said they are doing very well, because we only have one month of sales in your numbers that you have disclosed, so we really can't tell from that what the results are year-over-year. Could you give us some more details on that, because they are being heard of course by… the housing business dropped substantially for them in the last year or two. And I’m wondering if there is a recovery taking place there and to what degree?
Ronald M. DeFeo - Chairman and Chief Executive Officer: Alex, I will first make a comment then pass it over to Bob Isaman who is leading that integration. But when we say A.S.V. is doing well, it is doing well against the golden objectives that we’ve set for ourselves. We want A.S.V. to be an important contributor to the Terex Corporation. We have specific things we want to accomplish with that business, both to build the franchise in North America, to expand it more globally, to help integrate some of our other products, and we were the leadership team that’s there and with their openness and willingness to participate in the same golden objectives that we have. So in our opinion doing well at this stage is about seeing the same opportunity and at attacking that opportunity with passion and vigor. We do think that the US housing industry is down. We are certainly glad we did not go along with the number one franchise in that industry and… because we think they will have a difficult time in the short-term but we think that provides are as opportunities. Bob, you want to add anything?
Robert Isaman - President, Terex Construction: Well, we currently have A.S.V. in the integration process… in the Terex integration process, but if you look at their platform and their technology, there is a lot of runway to take your technology… their undercarriage technology integrated with our current light construction product line. There is tremendous opportunity to use the A.S.V. base in Minneapolis… in Minnesota as a manufacturing platform for the Americas, which will help to offset some of the FX risks that we have. And I think lastly, there’s tremendous runway for us to move that product line into Europe and they’ve recently got certification in Europe. So we are excited about that.
Alexander Blanton - Ingalls & Snyder: Have you done anything about that in terms of moving their business overseas, which most of it was… over 90% was US… no, domestic, I should say U.S. and Canada?
Ronald M. DeFeo - Chairman and Chief Executive Officer: Certainly more to come, answer is yes. But again, we are into this less than two months.
Alexander Blanton - Ingalls & Snyder: Okay. Thank you.
Ronald M. DeFeo - Chairman and Chief Executive Officer: All right.
Operator: Your next question comes from Charlie Brady with BMO Capital Markets.
Charles Brady - BMO Capital Markets: Thanks. And with regards to the Cranes segment, you highlighted the RT cranes as having a backlog not priced. Can you just comment sort of what it looks like beyond the 12 months for crawlers and for the all-terrain crane market?
Ronald M. DeFeo - Chairman and Chief Executive Officer: Rick, you want to comment on that?
Richard Nichols - President, Terex Cranes: Well, is this a pricing comment, I don't quite understand, or is it a--?
Charles Brady - BMO Capital Markets: I guess overall demand and sort of build slots beyond the next 12 months and I guess it also took control of pricing into that as well, but obliviously you have the escalators giving you some protection on that?
Richard Nichols - President, Terex Cranes: Yes. We certainly have build slots scheduled for our customers on the all-terrain cranes and the crawler cranes out through 2009 and probably into 2010 in some cases. We do have escalation built into protect this on price in most cases, so we are booked out further than the current backlog.
Ronald M. DeFeo - Chairman and Chief Executive Officer: Yes. Our backlog again is a 12-months backlog, it’s product that we expect to deliver. In addition, we have that $210 million that we highlighted, but we do have customers that are reserving slots well past the next 12 months. What that tells us is two things, one that the opinion of our customers is that they expect infrastructure related projects to remain quite strong because it's mostly the big cranes that… here’s at work. And the kinds of things we're talking about is cranes to build nuclear power plants, cranes that build wind power, cranes that move massive bridges and it’s the type of cranes that really aren't available from many other manufacturers in the world. So, if you are in the business of renting and positioning those cranes, you want to get build slots. But it also tells us that in this crane business, we have to work to increase our capacity because customers waiting three years for cranes, if they can find an alternative is also not a particularly good position to be in. So, that's what we're doing.
Charles Brady - BMO Capital Markets: With regard to the capacity increase you talked about within Cranes and also in the Mining segment, would anything you’re contemplating have an impact on 2008 or is that really sort of 2009 and beyond impact?
Ronald M. DeFeo - Chairman and Chief Executive Officer: 2009 I think, primarily 2009. We should have some minor late fourth quarter 2008 incremental help on some primary fabrications, et cetera, but it’s primarily 2009 and 2010.
Charles Brady - BMO Capital Markets: And within the Construction segment, in the release you’d commented on the Motherwell, Scotland facility. Can you sort of explain on what you… how do you define sort of a temporary shortfall and when you might expect the volume opportunity and cost reduction opportunity to come through?
Robert Isaman - President, Terex Construction: Sure. What we did in Motherwell, Scotland was we took two manufacturing lines that made artic. Trucks… articulated off-road trucks and combined them into one mixed-use line. And we did that to free up space to be able to manufacture more rigid trucks in order to put more throughput through that manufacturing facility, and whenever you do that you have a temporary disruption in your ability to produce. So, that's a short-term one-time issue and we expect the second quarter to be back up probably a little bit higher than where we thought we're going to be in the first quarter.
Charles Brady - BMO Capital Markets: And one final question and I will get back in the queue. On the Roadbuilding segment, would you expect Q1 to be the last quarter to see a loss in '08 or are we still having some problem here in the first-half?
Ronald M. DeFeo - Chairman and Chief Executive Officer: My belief is that the loss in Q1 is not acceptable performance between Roadbuilding and Utilities. I think there is a number of things that are challenging as… I'm not certainly in a position to guarantee strong profitability, but I do believe our second-quarter and balance of the year performance will be improved as compared to our Q1 performance.
Charles Brady - BMO Capital Markets: Thanks very much, great quarter.
Ronald M. DeFeo - Chairman and Chief Executive Officer: Thank you.
Operator: Your next question comes from Stephen Volkmann with JPMorgan.
Stephen Volkmann - JPMorgan: Hi. Good morning, guys.
Ronald M. DeFeo - Chairman and Chief Executive Officer: Good morning.
Stephen Volkmann - JPMorgan: Just maybe some comments on the cash outlook, maybe [inaudible], but as I look forward on the year here how should I think about working capital as we go forward? And it sounds like there is a few things you're doing on the capacity side, which may be flows through into CapEx, I assume. Just give us a sense of what we should be looking for there?
Phillip C. Widman - Senior Vice President and Chief Financial Officer: Okay, Steve. I’ll start with the last piece, the CapEx side. We're staying at our guidance level, the $160 million for the year, which includes several investments and capacity expansion, which Tom alluded to earlier. In terms of working capital, it's still one of our challenges as I mentioned in the release. I would expect that we will see improvement as we go through the year, but with the very large products in Mining and Cranes, it does cause some lumpiness. But from a process standpoint and programs that we've got in place, we should see improvements as we through the year. Typically, we generate most of our cash in the back half however because of the high second quarter volume we have, it's going to be a neutral quarter than we generate in the third and in the fourth quarter periods. But I would say our working capital… revenue relationship should come down as we get further into the year.
Stephen Volkmann - JPMorgan: Okay, great. And the tax rate, I was interested that you changed your ROIC to after tax. Should I read that as sort of incentivizing the team to focus on the tax rate and try to bring that down?
Phillip C. Widman - Senior Vice President and Chief Financial Officer: You could believe that, Steve. It is the prime measure for near-term objectives in --.
Ronald M. DeFeo - Chairman and Chief Executive Officer: And incentive compensation.
Phillip C. Widman - Senior Vice President and Chief Financial Officer: And incentive comp, that's right.
Stephen Volkmann - JPMorgan: So, should it be down over the course of the year here or --?
Ronald M. DeFeo - Chairman and Chief Executive Officer: I think long-term we really believe we can make a big difference here, handicapping it immediately is kind of challenging, right.
Stephen Volkmann - JPMorgan: Okay, fair enough. And then the comments about the cash… the working capital, so in terms of… I don't have the words right in front of me, but something about the Mining and Crane that you get cash payments I guess when you get orders and then go away when you deliver them or something?
Ronald M. DeFeo - Chairman and Chief Executive Officer: The advances, yes.
Stephen Volkmann - JPMorgan: The advances, I am sorry. So I guess I’m kind of square up the fact that that was a negative on cash with the fact that you still seem to getting lots orders, and how should I think about that?
Ronald M. DeFeo - Chairman and Chief Executive Officer: Yes. To the timing of when you get cash on some of these products, there is usually… I’m talking the very large mining equipment and cranes.
Stephen Volkmann - JPMorgan: Right.
Ronald M. DeFeo - Chairman and Chief Executive Officer: Maybe 10% to 15% when you get an order, and as you get closer to the delivery time frame when its ready to ship you might get 60% of the cash, and then the remainder closes out as… and you recognize revenue basically on commissioning. So in the fourth quarter, we were in the process of delivering several of these including the twin-boom 8800 we talked about over several quarters actually, we finally completed that in the first quarter of the year. So, it’s… again the lumpiness of that, we still will achieve cash advances on the larger orders, but given those and the RH 400s we delivered in Canada, again very large, we're really hitting to 60% kind of number in the prior year and then completing it this year as they roll through.
Stephen Volkmann - JPMorgan: That’s what I was referring to.
Tom Riordan - President and Chief Operating Officer: One quarter to the next, it can swing --.
Phillip C. Widman - Senior Vice President and Chief Financial Officer: $20 million to $40 million, in that range.
Tom Riordan - President and Chief Operating Officer: Very lumpy.
Stephen Volkmann - JPMorgan: So I can't really read anything with respect to like your filling out orders for really big stuff but taking in orders for smaller stuff or something like that?
Tom Riordan - President and Chief Operating Officer: No, because of the mix… again the percentage over the time it’s going to be fluctuating.
Ronald M. DeFeo - Chairman and Chief Executive Officer: And you also should not read into that any change in our term spread either.
Stephen Volkmann - JPMorgan: Fair enough, good. And then just a final one from me, just starting to make some decent headway on the margin side I guess on a bunch of the businesses, is there any changes in terms of where your expectations are for the longer term in terms of margin opportunities in the segments and specifically I guess I'm thinking is you… you’ve talked about localizing production more globally and I assume that perhaps there’s potentially the better for headwind on margins because you are possibly getting some benefit from currency and export and so forth now that you are not get in the future, so I'm just trying to squire of how should think about that longer-term?
Ronald M. DeFeo - Chairman and Chief Executive Officer: Yes. It's a good question, Steve, and in fact the way I think about it is, it is reflected in my 12 by 12 in ‘10 goal, because when I committed to the 12 by 12 in ‘10 goal, I certainly did expect that we would have both positives as well as negatives. The currency won't always help us, but raw material costs won't always be as strong a headwind as we have here as well. And we won't always have Construction at very low margin and Roadbuilding and Utility at a very low margin, nor did I expect necessarily that the AWP would stay at an 18% to 20% margin all the time, but nor did I expect Cranes to continue when we started at the high-single digits margins, which is now in the 13% operating margin. So I really looked that this in the fullness of a cycle and said, hey we ought to be able to deliver 12% operating margin when not everything is going well, okay, which means that if it per chance, and it’s never happened since I’ve run this company now for 15 years, everything goes well. Our margin ought to be in the mid-teens, on the flipside if everything goes bad all at once, which has happened once or twice but not recently, but now I think we got ourselves positioned so we are in the high-single digits at least. So, I really think our business is so different today than it was a number of years ago, and it has to be almost by definition. We have come from nothing, we’re a $10 billion $11 billion company that has the best returns on capital in the industry, and if not the best clearly right there with the best. And so my feeling is that we have totally changed how this company has been positioned. Yes, we don't have deeply rooted processes that we can say are as sustainable as we like to have, which is why we are building in the lean processes, why we are building in a Terex Management System, why we are changing our manufacturing footprint supply chain, why we are initiating many supply chain programs. That's what is going to take Terex from being a sophomore in high school, which we aren't quite yet, to the university. And so I'm very optimistic, but I know we have some choppy markets and choppy situations to still work through.
Stephen Volkmann - JPMorgan: Okay, great. And if I can just sneak one more in, you made a comment that intrigued me, Ron. You said you’re going to make sure that you get pricing to offset your raw material costs, but no more I think. And I don't know, hopefully I'm not putting words in your mouth, but I was just intrigued by that because clearly in some of your end markets there ought to be an opportunity to maybe get a little more and it's maybe, make hay while the sun shines, and just is there a philosophy there that you want to talk about?
Ronald M. DeFeo - Chairman and Chief Executive Officer: Well, we have fortunately some of our customers absolutely listen into these calls, and we want to assure our customers that we are not going to use this raw material cost situation to have their cost of business go up unnecessarily, because it is easy to say when times are good you should get every last penny. But that comes back and haunts you, okay. We are interested in building relationships with our customers and have our customers understand that when they buy a piece of equipment manufactured by Terex Corporation, they're going to get the highest returns on capital possible because we will deliver to them great value, great performance, good follow-up support, and they have confidence therefore when they purchase from us that we're not just about making today's return, we’re about making a long-term relationship. And that's what's going to take Terex from a number three franchise player in the globe to a bigger, more diversified and successful enterprise.
Stephen Volkmann - JPMorgan: Thanks. I appreciate it.
Ronald M. DeFeo - Chairman and Chief Executive Officer: Okay.
Operator: Your next question comes from Andrew Obin with Merrill Lynch.
Andrew Obin - Merrill Lynch: Good morning, great quarter guys. Just most of my questions have been answered, but I just have a couple of technical questions. In terms of this one-time item, roughly $7 million that we’ve got, should I expect this benefit to continue throughout the year?
Phillip C. Widman - Senior Vice President and Chief Financial Officer: Which one-time items are you referring to?
Andrew Obin - Merrill Lynch: It’s not a one-time item, it's… I think it's other income of $6.6 million.
Phillip C. Widman - Senior Vice President and Chief Financial Officer: Some of the exchange of minority interest, it’s not necessarily--.
Andrew Obin - Merrill Lynch: [inaudible].
Phillip C. Widman - Senior Vice President and Chief Financial Officer: No, not necessarily. That tends to fluctuate quarter-to-quarter, minority interest in there is there for different acquisitions and so on, as well as some of the currency gains.
Andrew Obin - Merrill Lynch: So should I be modeling it at a zero roughly for the end of the year. Is that safe?
Phillip C. Widman - Senior Vice President and Chief Financial Officer: I think that it's safe, yes.
Andrew Obin - Merrill Lynch: The second question just… I noticed a language change on Roadbuilding where you’re talking about possibility to re-evaluating the fair value of the business. Could you elaborate on that a little bit?
Ronald M. DeFeo - Chairman and Chief Executive Officer: Sure. As disclosed in our 10-k, we do an annual assessment of fair value of our goodwill and intangibles as of October 1st. The Roadbuilding portion of our business is one that’s the closest to the value… fair value difference versus what we’re carrying that. When you look at the performance of that business, if there is a triggering event or performance doesn't meet our expectations, we may have to reevaluate that. We didn't quite get to the second step of reevaluation of the first quarter, but if continued performance doesn’t realize versus our plans, we may have to go further in terms of that. In total, we have about $34 million of goodwill in that business. So that would be, let's say the worst case… but again, we... as of this stage in the first quarter there is not a need to do that.
Andrew Obin - Merrill Lynch: And I know the question on the tax rate has been asked, but just want to clarify, what should I model for the rest of the year?
Phillip C. Widman - Senior Vice President and Chief Financial Officer: Again Andrew, we're not changing from our guidance of the 35% but it is one area that we're expecting some opportunity in.
Andrew Obin - Merrill Lynch: Thank you. So, there could be changes through the year, but we're just not modeling them right now.
Phillip C. Widman - Senior Vice President and Chief Financial Officer: That's right, yes.
Ronald M. DeFeo - Chairman and Chief Executive Officer: Andrew, I think as you reflect upon Terex with your constituencies, I would suggest that we're still pretty positive. We still feel a very positive about our company, and you’ve been following us a long time, and I’d encourage… I really would encourage you to look at that total evaluation of us because I think there is opportunity here.
Andrew Obin - Merrill Lynch: Thank you, Ron. I appreciate it.
Operator: Your next question comes from Charlie Rentschler with Wall Street Access.
Charlie Rentschler - Wall Street Access: Yes, good morning. You've given us… you’ve snuck up the guidance for '08 and… [inaudible] the goal for 2010, which gives us kind of a trajectory to think about. But what I'm wondering… is as Cranes and Materials Processing & Mining become bigger engines in pulling the Terex profits, say, relative to AWP, I'm wondering… I sort of think of lot of that equipment as being late cycle, maybe I’m old fashioned, but I think that as late cycle and AWP as maybe early mid. But can you talk a little bit about your thoughts about '09 because… do you think that those businesses will stay strong just because they are global and they benefit from infrastructure and nuclear, et cetera?
Ronald M. DeFeo - Chairman and Chief Executive Officer: Yes. I think, Charlie, the thing I would like to say… and I clearly do not want to come across here as having the answer, but I will give you my perspective on this because I don't think there is an answer. But over the course of time, our businesses have essentially been North American and European based and our industry has essentially been North American and European based. And when North America went down, Europe was sure to follow, and we got a periodic boost from Asia, but it really wasn't that big of a driver of the businesses. That is clearly different today in a very, very big way and that we are seeing in our Materials Processing, in our Mining business and we're seeing that in our Cranes business as well. And in part that's because we do have economies that are being driven by some of the changes in raw materials as those economies go through drastic growth periods. You know, it's India, China, Russia, many other markets in Asia, many markets in Eastern Europe, and as you see the petrol or the oil effect, which is essentially taking dollars from those that need the oil to dollars that... to markets that have the oil and then having those markets reinvest in their own infrastructure such as the Middle East, that's what is different today and that's not about late cycle, it's about longer cycle and the longer cycle is clearly in play in our Crane business and is clearly in play in our Materials Processing and Mining business. I do believe it is long enough to take us well past 2010, and I think whatever disruptions or bumpiness you will see in our Aerial Work Platform business we’ll be back in a strong period in the 2010 period. And I also think that Aerial Work Platforms will be a product for the developing markets also. And then if you back up and say, well, what is going on with Construction Products, that is another big opportunity for us because we plan to participate in those developing markets and while we are still not one of the big players, being a player in a market that needs equipment can be a big growth opportunity for us. That is why I am generally bullish about our overall business. Okay. All right, let’s take the next question.
Operator: Your next question comes from Robert Wertheimer with Morgan Stanley.
Robert Wertheimer - Morgan Stanley & Co.: I keep getting surprised by the currency that there is not more flow through the margin and revenues, and maybe this quarter provides the answer. I mean is Euro-Zone, euro-denominated sales [inaudible] only maybe 10% of that business or is that why the currency flow through on the revenue line was low?
Tom Riordan - President and Chief Operating Officer: I missed part of your beginning, Robert, but I think I know what you're getting at. The way we look at our translation effect on revenue, AWP we distribute through the UK. There wasn't much movement on the sterling year-over-year, so we are looking at converting that. In Australia versus the US dollar... the US dollar weakened quite a bit versus Australia and part of the impact was the flooding caused some of that impact downwards year-over-year. There is some sterling to euro that may be a little higher than what we have got in the release that we are looking at.
Ronald M. DeFeo - Chairman and Chief Executive Officer: But I also think that one of the reasons there is less currency effect in AWP is because frankly in the first quarter we had more revenue in North America. [inaudible]. Okay, we had more revenue in North America than we did last quarter where our European business was stronger.
Robert Wertheimer - Morgan Stanley & Co.: That I can’t understand, just to be super clear I mean [inaudible] is denominated in euros, not pounds, right. And I guess I'm wondering if you know the dollar... the euro value of the sales in the Euro-Zone?
Ronald M. DeFeo - Chairman and Chief Executive Officer: We denominate our products in both pounds and in sterling and in euros.
Tom Riordan - President and Chief Operating Officer: One other factor in this, Rob, is we are increasing local content in Europe in Euro-zone purchases, so that is also kind of a negative against that exchange rate --.
Robert Wertheimer - Morgan Stanley & Co.: On the margin line, yes. Okay, and then last question is, your Mining business was very solid. Can you talk about sort of the sustainability of the production? You’ve had a lot of years of growth. Can you... was there any pull-forward from 2Q and can you continue to grow that production?
Ronald M. DeFeo - Chairman and Chief Executive Officer: Well, Robert, maybe I'll take that one. We did not have any Q2 pull-forward. In fact, I think we're still a bit behind some of our customer expectations, still a bit behind our customer expectations. We've done a really excellent job in most of our mining facilities and taking lean to a really higher level to get productivity out… and production out of the door. I think we are pumping up, as Tom mentioned earlier, against some capacity constraints, not just in the supply base but in fewer factory footprint, and we're… as a part of our capital plan both this year and into next year, we're going to be taking both the German facility up in footprint and beginning to transition some of the products into lower cost markets. So, we do have to address the capacity for the '09 volumes that we expect to see.
Robert Wertheimer - Morgan Stanley & Co.: Okay, thank you.
Operator: Your next question comes from Robert McCarthy with Robert W. Baird.
Robert McCarthy - Robert W. Baird and Co.: Now, the strength of the crane market, with...
Ronald M. DeFeo - Chairman and Chief Executive Officer: Rob? Could you repeat yourself because I don't think she had you on speaker until you got part of the way into your question.
Robert McCarthy - Robert W. Baird and Co.: No problem. I wanted to follow up on the discussion about the strength in the crane market and the exceptional strength that you're seeing in the rough-terrain market, and I'm wondering if you could… given that there is exposure in that business to building buildings if you will, which is a weak market in North America, the actual application, could you talk about what's driving the strength in that product class specifically and whether some of the strength you're seeing is really a reflection of pent-up demand from the dealer base related to all the work that you've done at Waverly over the last 18 months and the better availability of the product now?
Richard Nichols - President, Terex Cranes: Well, I think, Robert, we would clearly see some effects of the housing market in the Crane business. Boom trucks would be down per say on a year-over-year basis, but as Ron mentioned a little bit earlier, our mix in the business is changing to the much larger crane part of our portfolio with the larger rough-terrain cranes, the larger crawlers, and larger all-terrain cranes, that is really where the need of the market is its where really the larger global demand in the product.
Robert McCarthy - Robert W. Baird and Co.: Is… does that mean that a lot of this incremental RT businesses going offshore?
Richard Nichols - President, Terex Cranes: Some of it is, Robert, and in addition I would say don't discount the fact that some of these RTs are very good at working on petrochemical operations and non-housing related applications. It is easy to say that everything is housing related, but the reality is this country has got infrastructure, it has energy resources that are rusting away, and we have a carne rental fleet that got pushed out of this country in the last downturn that has been replaced, still is in need of being replaced and so, I am still pretty positive about the RT opportunities.
Robert McCarthy - Robert W. Baird and Co.: Okay, thanks. And I think I heard you say as part of your [inaudible] I guess, I though I heard you say as part of your prognosis for the Roadbuilding and Utility segment that you were looking at moving… or doing some plant consolidation, which I presume would involve some incremental expense and I wondered in your comments about the Roadbuilding segment remaining challenged this year to show a lot more profitability than what we saw in first quarter, is part of what you're thinking that you're going to have these incremental expenses or would they be an additional issue beyond the soft performance that you are getting right now?
Tom Riordan - President and Chief Operating Officer: The clarity answer as I would describe it is… Ron made a comment about beginning to synergize manufacturing assets between Construction and Roadbuilding. The specifics behind that frankly is not necessarily plant consolidation as much as it is an opportunity to take a number of product lines in the Construction arena that we are under-serving North America on the basis of what we believe to be an eventual turnaround over the next several years of the U.S. market begin to produce some of these products in the U.S. and position those in Roadbuilding excess facility plants that we've got today. So I don't want to… my comments on the profitability of the segment are really nothing related to any consolidation or excess cost of facilities.
Robert McCarthy - Robert W. Baird and Co.: Okay, great. Thanks, I appreciate it.
Operator: Your next question comes from Robert Marson with Defiance Asset Management [ph].
Unidentified Analyst: Congratulations on another excellent quarter. The Mining business is currently… I guess had a quarter then… a quarter that was bigger in revenue than one of the publicly traded companies that's approaching a $5 billion market cap. And while the margins aren't quite similar, there is opportunity to expand them in the mining businesses over the next couple of years as you’ve stated in the past. What are the primary drivers behind the materials and mining business growth? Is it as much the Materials Processing as it is iron ore and coal or is it weighted towards one of those two? Thank you.
Ronald M. DeFeo - Chairman and Chief Executive Officer: I think, Robert, we see strength clearly in both, the Materials Processing piece is are aggregates business. That has historically been a very dependable, very high margin business for us with very reasonable growth. But the real change, the delta in that segment has been the substantial increase in our mining shovel business, our Terex O&K shovel business, as well as some growth in our mining truck business and some growth in our drill business and the addition of superior Highwall, which is a great franchise improvement.
Unidentified Analyst: Could you give us an update on that? Is the globalization of that product taking off as you expected with your increased distribution?
Tom Riordan - President and Chief Operating Officer: Yes, we've actually sold one unit into Russia and we have several deals pending on a global basis, and I think… it's early on in the integration process, but we're looking at opportunities to lever synergies on the component side across the other businesses plus take advantage of our more global distribution network in the Mining group. So we see a real opportunities with SHM?
Unidentified Analyst: Thank you. Sorry.
Tom Riordan - President and Chief Operating Officer: To be a meaningful contributor. Okay.
Unidentified Analyst: Okay. And secondly, you guys had a… I think you had had an infrastructure summit here, conference in the U.S. infrastructure spending has, particularly non-residential construction expanding some people think its about to implode or fall off the cliff like the Construction business. I kind of look at it differently, As a percentage of GDP it's just come up from a very low level and in fact if we do it on a real basis it’s not that much off the bottom because construction material costs have gone up so much. What did you guys conclude from your infrastructure... domestic infrastructure summit and is there a chance that the public spending, that roads, bridges, highways, tunnels, water, power infrastructure, energy infrastructure, can sort of hold up while office tower and shopping center construction and gaming casino constructions falters in this domestic economy and credit crisis?
Ronald M. DeFeo - Chairman and Chief Executive Officer: Robert, the simple answer to that is if our infrastructure spending implodes so will our way of life, okay, and I don't think that is going to happen in this country although with the level of politics the way it is sometimes I have a level of fear with that also. I mean what my conference fundamentally proved was that we are under-investing in our infrastructure in this country and when you get people together like we did at this conference, which was the Head of AFL-CIO, John Sweeney, with former Governors, Pataki, Governor Engler, the Systems Department, Transportation Secretary, Jim Oberstar, who is the guy that’s in charge, the Chairman of the Infrastructure and Transportation Committee. What this proves is that we have to find a way for both public and private partnerships to collaborate to deal with our crumbling infrastructure. It is not a matter of if it is a fundamental need. Jim Oberstar basically went on record as saying, we need to double the country's spending level on our highway bill from $280 billion to over $500 million. But I think it is easily said in a political environment. What we need is vision and we need will, and that is where we struggle. So I hope that the leadership of the country can get its act together to deal with this issue. It must, but it is going to take some pressure from both business as well as the investment community, and I encourage you and anybody on this call to take this up because it is a real risk for our country's way of life. Fundamentally, infrastructure investment equals economic prosperity, they are attached at the hip.
Unidentified Analyst: Thank you.
Ronald M. DeFeo - Chairman and Chief Executive Officer: Can we take one last question?
Operator: Your final question comes from the line of Seth Weber with Banc of America.
Seth Weber - Banc of America Securities: Thanks, and morning. Squeezed in here at the end. Ron, couple of questions on the... something you said about the Crane business with lead times extending out here, have you noticed any increased competition from the Asian, the Chinese manufacturers? Do you feel like you're losing share, you are losing opportunity there is the first question?
Ronald M. DeFeo - Chairman and Chief Executive Officer: I think we have for now nearly two years identified the fact that China will be a player and a manufacturing source for cranes, which is why we made the investments in our Changchun crane JV in Luzhou, China. I do see… we do see the beginnings of some entrance from China into Western markets, but to me this is about being intimate with our customers and making sure we demonstrate the value that’s implicit in our products. A Chinese produced crane may have a low price today, but over the long term there will be moderation of currency differentials, there will be a lot of reasons, It is a long way to bring a crane into Western Europe from China or into the United States from China and it is a big risk because fundamentally you have that asset, which is what you do business on, and if that asset valuation can't be assured then you need to… your business models becomes vulnerable and service is clearly what's going to be important, and we've got a history of decent service.
Seth Weber - Banc of America Securities: Right, okay. Just going back to your RT comments on the '09 pricing in backlog, I mean is the... am I misinterpreting that the crawler customers are more willing to take escalator or is that incorrect?
Tom Riordan - President and Chief Operating Officer: No. I think it's just a function of size. I mean size… when you're dealing with somebody who's ordering a $0.5 million piece of equipment, it's a little bit different than someone ordering a $150,000 or $200,000 piece of equipment.
Ronald M. DeFeo - Chairman and Chief Executive Officer: And it's also a function of the lead times that are involved in terms of some of the larger products that we have where typically you're not talking about 2 or 3-month lead times, in many cases you are talking to 9 to 12 months or longer lead times, and as a result of that obliviously there is pricing protection and cost protection that both sides are looking for in any negotiation.
Seth Weber - Banc of America Securities: Right, which is why I was surprised you didn't make the same comment about your crawler business that you made about the RT business or am I just misinterpreting --?
Ronald M. DeFeo - Chairman and Chief Executive Officer: Well, I think you're probably misinterpreting. The crawler business is primarily over 300 tons and would fall into really a large purchase price for customers such that we’d be negotiating a price with escalations in it where an RT would be significantly less in value than that.
Seth Weber - Banc of America Securities: Right, okay.
Ronald M. DeFeo - Chairman and Chief Executive Officer: Okay.
Seth Weber - Banc of America Securities: Last question, on the aerials business… the U.S. aerials business, is there... where are you seeing the strength there? Is it coming from the more the mid-tier rental companies, or have the big, your more traditional larger rental companies stepped up maybe more than you would have thought.
Ronald M. DeFeo - Chairman and Chief Executive Officer: I think we have seen combination of all of the above. I think a few of the big rental companies have stepped up, a few haven't yet. So, the good news is some of our better customers still haven't ordered, but some of are also better customers have ordered. It's really… it really is a bit of a broad spectrum of customers.
Seth Weber - Banc of America Securities: Okay. Thanks very much, guys.
Ronald M. DeFeo - Chairman and Chief Executive Officer: Thank you, and thanks, everybody, for their interest in Terex today.
Operator: I would now like to turn the call back to Ron DeFeo for any closing remarks.
Ronald M. DeFeo - Chairman and Chief Executive Officer: Thank you. See you soon. Call Tom or Phil or me if you have any questions.
Operator: This concludes today's Terex Corporation first quarter 2008 earnings release conference call. You may now disconnect.